Operator: Good day everyone. My name is Amanda and I will be your conference operator today. At this time, I'd like to welcome everyone to the Las Vegas Sands Third Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. I would now like to turn the call over to Mr. Daniel Briggs.
Daniel J. Briggs - Las Vegas Sands Corp.: Thanks, Amanda, and thank you for joining us on the call today. Joining me on the call today are Sheldon Adelson, our Chairman and Chief Executive Officer; Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, Executive Vice President and Chief Financial Officer. Before I turn the call over to Mr. Adelson, please let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor provision of federal securities laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. We also want to inform you that we have posted supplementary earnings slides on our Investor Relations website for your use. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you limit yourself to one question and one follow-up question so we might allow everyone with interest to participate. Please note that this presentation is being recorded. With that, let me please introduce our chairman, Sheldon Adelson.
Sheldon G. Adelson - Las Vegas Sands Corp.: Thank you, Dan. Good afternoon and we want to thank you for joining us today. Our company delivered another huge quarter and I'm very pleased with the strong financial results. Company-wide adjusted EBITDA reached $1.21 billion, an increase of 6% over the prior year and an increase of 10% in a hold-normalized basis. And I don't know what the percentage is over the consensus number but it's over. Our Macao operations produced its best quarter since quarter four 2014 with adjusted EBITDA reaching $652 million. Hold-normalized EBITDA grew by 11% year-on-year and we significantly outperformed the market in both rolling and non-rolling volumes growth. We delivered strong growth metrics across every segment of the business both gaming and non-gaming. During the quarter, we grew rolling volumes by 48%, that is whopping; non-rolling revenues by 19%; mass gaming revenue by 13%; occupied room mass by 24% and retail sales by 18%. It was a good quarter. Overall, property visitations were up 26% over the prior year. At the same time, we have successfully established The Parisian Macao as a new landmark must-see destination resort. The Parisian Macao achieved a quarterly EBITDA of $135 million and I am pleased to report that it has now met our targeted 20% annualized rate of return within just one year of opening. That was good too. During the quarter, we reached a major milestone, the 10th anniversary of The Venetian Macao. When it opened in August 2007, The Venetian stood alone on Cotai. Its opening marked the first step in my vision to create the Cotai Strip. The Venetian introduced large scale, non-gaming amenities to Macao such as retail malls, MICE, live entertainment and arena. These attractions are now well established in Macao and will continue to flourish and grow. I cannot be more proud of the fact that today after receiving more than 280 million visitors, The Venetian Macao stands as the most visited integrated resort in Asia, if not in the world. The addition of The Parisian to our Cotai Strip portfolio takes our critical mass and diversity of offering to another level. The Parisian together with The Venetian, Four Seasons, and Sands Cotai Central, all interconnected, is the only MICE space integrated resort complex of this scale. I'm truly grateful to the Macao government and the local community for their great support over the years in enabling us to implement this vision and strategy. I was absolutely committed then and I remain as deeply committed today to continuing to support Macao's economic diversification and its transformation into Asia's leading business and leisure tourism destination. It is in that same spirit of deep commitment to Macao's future development that we announced today that we will be reinvesting in excess of $1 billion in Macao over the next several years, primarily till the complete renovation and the expansion of the Sands Cotai Central property. We will also strategically increase our high-end suite accommodation with a full scale development of the St. Regis and Four Seasons apartment hotel towers. I'll say much more about these investment projects in a few moments. I've always said that in this competitive market, we would build themed integrated resorts. This has worked especially well in the Macao market with The Venetian and The Parisian. The connectivity between our Cotai Strip resorts gives us another unique competitive advantage. The rapid development in digital and social media marketing in China has been instrumental in establishing The Parisian Macao with its iconic Eiffel Tower as a cornerstone attraction for Chinese travelers visiting Macao. The brand recognition we have generated for The Parisian Macao on these platforms has simply been incredible, yes incredible, with over 4.3 billion, 4.3 billion, that's a lot, impressions as of September 30. With The Parisian's early success and momentum now clearly established, the time is right for us to create another landmark attraction on the Cotai Strip. I'm excited to announce today that we will create a third European destination by expanding, renovating and re-theming Sands Cotai Central into The Londoner. The Londoner will have tremendous potential as a third landmark must-see destination. The scale of the current SCC assets are unmatched in Macao, including over 6,000 hotel keys, a 400,000-square-foot retail mall, a 1,700-seat theater and over 300,000 square feet of developed MICE space. The Londoner renovation and expansion will completely re-envision the property, developing another 1.7 million square feet of space, expanding and enhancing all our offerings, hotel suites, retail mall, F&B, entertainment, and MICE. Upon its completion, The Londoner will accommodate more overnight guests than The Venetian and The Parisian combined. The Londoner will offer great potential for visitation and growth as a stand-alone integrated resort, but will also provide synergies with The Venetian Macao and The Parisian. Having three iconic must-see European-themed destination resorts with a broad range of amenities will strengthen our marketing and customer service capabilities and position us to grow faster than the Macao market in every segment on both the top line and the bottom line in the years ahead. As part of The Londoner project, we intend to fully develop the St. Regis apartment hotel tower, introducing 350 luxurious St. Regis Tower Suites. Year-to-date, our premium mass segment has grown by 28% over the prior year. Given the structural growth we foresee in this segment over the medium and long term, we will seize this opportunity by augmenting our inventory of high-end suites. In the process, we will also stay ahead of our competition on Cotai. The St. Regis Tower Suites will cater to every segment of the luxury travel market, including families, and will complement The Londoner's offerings which will directly target the mass, leisure and MICE markets. Our strategy to again boost our investment in Macao is testimony to our unwavering belief in the secular growth trend in China. We are laser-focused on being competitive across multiple segments by offering unique attractions and enhancing our current offerings to take full advantage of the growth in this dynamic market. I am confident that these projects will provide strategic benefits for our company and we look forward to updating you with more specifics as we reach critical milestones. There is also a tremendous potential to upgrade and expand The Plaza/Four Seasons property. We are therefore excited to announce today that we will build out the suite inventory in the Four Seasons apartment hotel tower. And we'll open a new tower at the property, the Four Seasons Tower Suites. These 295 spacious and luxurious suites will nearly double our lodging capacity at the Four Seasons. Given its central location and easy connectivity to all of our Cotai properties, the conversion of the Four Seasons apartment hotel to the Four Seasons Tower Suites will not only enhance our ability to grow patronage at the Four Seasons/Plaza property but will also support patron growth at The Venetian, The Parisian, and eventually, The Londoner. These three products will significantly bolster our strategic position and competitiveness across multiple segments. Both the St. Regis Tower Suites and the Four Seasons Tower Suites will directly appeal to longer-staying families visiting Macao, a valuable customer group that will expand greatly in the years ahead. At the same time, both the time to market and incremental return on capital for these projects should be much more favorable than a standalone greenfield project. We look forward to updating you on our progress across these important strategic developments. I also want to take this opportunity to express our sympathy for all those who were affected by Typhoon Hato in late August. This was the most severe typhoon in Macao in more than 50 years. Our deepest sympathies go to the families who lost loved ones during the typhoon. The damage this typhoon inflicted on the community was serious and widespread. I'm very proud of the efforts made by the Sands China team to take care of our customers and employees during this tragic event and its immediate aftermath. As well as the aid our team members supported to the local community in the days and weeks following the typhoon. As I announced at the end of August, Sands China and the Adelson Family Foundation have pledged MOP 65 million to assist with longer-term relief and rebuilding efforts in Macao. Providing financial resources in support of those efforts is a commitment that Sands China and the Adelson Family are proud to make. Sands China is a company rooted in Macao and we will continue to strongly support the community. Moreover, we remain as committed as ever to playing the pioneering role in Macao's transformation into Asia's leading business and leisure tourism destination. Our decision to reinvest and develop The Londoner Macao, the St. Regis Tower Suites and the Four Seasons Tower Suites reflects that long-term commitment to Macao and our confidence in its future. We regard it as a privilege to contribute to Macao's success in realizing its objectives of diversifying its economy, supporting the growth of local businesses and providing meaningful career development opportunities for its citizens, including through our Sands Academy, and reaching its full potential as Asia's leading business and leisure tourism destination. Back in Las Vegas, I would like to extend my deepest sympathy to the victims of the recent tragedy at (15:31). While we are extremely saddened by this tragedy and share in the grief of all those affected, Las Vegas is a very resilient place. We have every confidence that this town will bounce back as it is already doing today and will make a full recovery. Vegas is strong. We are very proud of the massive outpouring of support from within our community and around the world to the people impacted by this horrible event. Our team members have exhibited tremendous support to those affected and we are proud of the concerted efforts and the efforts of the entire community. Now, moving on to Marina Bay Sands in Singapore. We did another excellent quarter at Marina Bay Sands with EBITDA of $442 million, an increase of 13% over the prior year. The quarter was marked by a particularly strong performance in the VIP gaming segment where rolling volumes grew by 30% year-over-year, our retail mall also continues to outperform the broader Singapore retail market with strong tenant sales growth of 8% over the prior year. Normalized EBITDA margin increased by more than 4 percentage points versus the prior year reaching 54.4% for the third quarter supported by solid revenue growth and cost control. At the same time, Marina Bay Sands continues to serve as a powerful reference site to emerging jurisdictions that are considering large-scale integrated resort developments. Our pioneering track record, unmatched development experience, financial strength puts us in the pole position to take advantage of new development opportunities on the horizon. Remember my middle initial, G. doesn't stand for Gary that my parents named me, it stands for growth. Now let's move on to my favorite subject. The return of capital to shareholders, yay dividends and yay buybacks. Our recurring dividend program remains the cornerstone of our program to return capital to shareholders. I'm pleased to announce that the Las Vegas Sands board of directors has approved an increase in our recurring dividend for the 2018 calendar year to $3 per share for the year, or $0.75 per quarter. After establishing our recurring dividend program in 2012, with the dividend per share of $1, this marks the sixth consecutive year that we've increased our recurring dividend to our shareholders. We remain deeply committed to our recurring dividend program to both Las Vegas Sands and Sands China. And we look forward to increasing those recurring dividends in the future as our cash flows grow. At the same time, we will remain opportunistic in returning excess capital via a share repurchase program. We repurchased $75 million of stock during the quarter and we look forward to continuing to utilize the stock buyback program to return excess capital to shareholders and to enhance long-term shareholder returns in the future. Our industry-leading cash flows, geographic diversity and balance sheet strength enable us to continue our recurring dividend and stock repurchase programs, while retaining ample financial flexibility to reinvest in our existing properties and pursue new development opportunities. Our debt-to-EBITDA leverage ratio remains low at 2.1 times on a gross basis and only, only 1.6 times on a net basis. My view of our leverage levels is that we are comfortable with a debt-to-EBITDA ratio of between 2.0 times and 3.0 times on a gross basis, before any additional debt related to development opportunities in new markets. As our EBITDA and cash flows grow, our leverage will naturally decline over time. In conclusion, our cash flow generation continues to be strong and predictable. The structural advantage from our scale, critical mass and product diversity remains evident in our strong financial results. The resurgence of growth in the Macao market has continued during the quarter. And we have grown faster than the market in both VIP and mass volume. We will continue to make significant investments in Macao because we have a long-term and unwavering commitment to Macao. The substantial capital that we will deploy to redevelop Sands Cotai Central into The Londoner Macao will add a third iconic must-see destination to our Cotai Strip development. The full scale development of the Four Seasons and St. Regis apartment hotel towers comes at a strategically opportune time. As we look to take advantage of the structural growth in Macao in coming years and stay ahead of the competition in terms of the quality and scale of our product and amenities. We look at the future with confidence. We have a strong organic growth outlook. We're in a great position to continue reinvesting in our existing assets and to pursue new development opportunities. And we have both the intent and the financial strength to continue to return excess capital to shareholders. Thank you for joining us on the call today. And now, we'll take questions.
Operator: And our first question is from the line of Stephen Grambling of Goldman Sachs. Your line is open.
Stephen Grambling - Goldman Sachs & Co. LLC: Hey. Good afternoon. Thanks for taking the question. Could you just talk a little bit more about the expected returns from the renovations and work you're doing at Sands Cotai and Four Seasons and how those returns might compare to a new property for example? And then as a related follow-up, when will the renovations get started and how should we be thinking about any kind of near-term disruption? Thanks.
Sheldon G. Adelson - Las Vegas Sands Corp.: First of all, we expect the return to be huge...
Stephen Grambling - Goldman Sachs & Co. LLC: Well, I think...
Sheldon G. Adelson - Las Vegas Sands Corp.: ... (23:19) nowadays. We are going to start the development and the renovation in the second quarter of 2018 and it will take about 18 to 24 months to complete. Am I saying that right?
Robert G. Goldstein - Las Vegas Sands Corp.: You're correct. And we also expect – I mean, the way we look at this building, Stephen, is it's a well-executed thematic building. Locational advantage will create opportunities to grow in all segments, but especially from our perspective the mass segment, the gaming side as well as the retail segment. The SCC has performed very well in the premium mass segment because of the 6,000 sleeping rooms, but we think underperforms the base mass segment where the highest margins reside, and its location is particularly advantaged to being between the new MGM building and the Wynn building across from The Venetian; 6,000 sleeping rooms, great location. It's always been somewhat ambiguous from my perspective as far as the non-themed approach. We think it coincides nicely with our Parisian success and of course the landmark building, The Venetian. Think about a building that right now runs about half of the rents that The Venetian is running in the retail. We think we can bring those rents up to a Venetian type level. We believe we can grow base gaming. There's adequate capacity in that building for more gaming on the base mass side, obviously, the highest margin business in Macao and that's our particular advantage at both The Venetian and The Parisian. So, we're highly confident that this renovation can take us to a whole new level at Sands Cotai Central and it's something we're very excited about. We spend a lot of time researching, thinking about it. It's been in the works for quite a while, and it's time to go into action. So, as Sheldon referenced, sometime late 2019, it should be open and ready for business and start performing.
Sheldon G. Adelson - Las Vegas Sands Corp.: So, it will be open and ready for business during the period of time.
Robert G. Goldstein - Las Vegas Sands Corp.: It will be.
Sheldon G. Adelson - Las Vegas Sands Corp.: Only some of the rooms that are going to be renovated and the rooms that are completed will be put to immediate use.
Robert G. Goldstein - Las Vegas Sands Corp.: Correct. There will be disruption. We can't deny that. That's a fact of life in any building this large, and it's an ambitious renovation. It won't speak to – it's more about the casino, the façade, and some of the sleeping rooms, but the majority of the sleeping rooms remain intact. We are very pleased with most in the St. Regis building, we'll take the new St. Regis suites and redo those, and we'll leave alone the Conrad and the Sheraton. We're going to redo the entire Holiday Inn facility and redo the façade of the building. And there'll be some unexpected surprises as part of the renovation.
Stephen Grambling - Goldman Sachs & Co. LLC: That's very good color.
Patrick Dumont - Las Vegas Sands Corp.: I think the way that we think about returns is that these are existing assets. So, it will be quicker to market. And they happen to be addressing our fastest growing segment, which is the premium mass segment. If you go to page 16 in the earnings deck that we provide, you'll see that that segment grew 17.7% year-over-year. So, we feel very confident in the long-term growth of premium mass. It's a very high value customer segment. We have a very deep database in this area. And we feel that these two buildings, once they become activated will speak directly to that segment in a very powerful way given the non-gaming amenities we have available adjacent to them and in those facilities. So, we think the returns will be very good.
Stephen Grambling - Goldman Sachs & Co. LLC: Great. Thanks. And maybe one unrelated follow-up. Just the rolling chip drop at The Parisian was much, much better sequentially year-over-year. I guess, is there anything unusual in that? Or how do you think about the right run rate for that property now that you're kind of lapping over the opening? Thanks.
Robert G. Goldstein - Las Vegas Sands Corp.: Right. Well, first, we're very pleased The Parisian has proven to be wildly successful. This quarter, I think, validates our approach there, the themed approach. The façade is exemplary. It attracts 40,000 people a day into the building. And all segments seem to be attracted to this building. Our new suite product comes onboard starting with Chinese New Year's. So we'll keep growing that segment. The high roll, I guess, is a concentration of demand-driven, large volumes of business, and it shows the acceptance of this product by the market. Is it sustainable? We never comment what's going to happen tomorrow in terms of any one segment. We've seen how that works in the past. We will say the building is getting great response from all segments; mass, premium mass, base mass and obviously rolling. And we're delighted with the results and it's a very strong quarter. And we hope it continues.
Stephen Grambling - Goldman Sachs & Co. LLC: Thanks. Best of luck.
Sheldon G. Adelson - Las Vegas Sands Corp.: Thank you.
Robert G. Goldstein - Las Vegas Sands Corp.: Thank you.
Sheldon G. Adelson - Las Vegas Sands Corp.: We don't hope it continues. We expect it to continue.
Robert G. Goldstein - Las Vegas Sands Corp.: Oh, excuse me. My mistake.
Sheldon G. Adelson - Las Vegas Sands Corp.: It is a mistake.
Robert G. Goldstein - Las Vegas Sands Corp.: Okay. We expect it to.
Operator: Thank you. And our next question comes from the line of Thomas Allen of Morgan Stanley. Your line is open.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hi, good afternoon. Can you just give us some more granularity about the drivers of the strength in Singapore? Thanks.
Robert G. Goldstein - Las Vegas Sands Corp.: Sure. First of all, I think, it's – the numbers speak for themselves. It's another exemplary quarter and another $1.6billion plus year it appears. I think our focus on the cost side has been very helpful in the commissions. We're very – I think, we've got a good approach there. The building is proving to be very, very resilient in terms as we keep dropping commissions, customers keep coming. And we'll keep doing that until they stop coming, so that's one positive. The other positive you see, the rolling volumes which are significant, and -but I would caution you again as we said in The Parisian call and we said in the past. These are concentrated segments and it does represent 10,000 customers or smaller than that. So I think in the end the only disappointing part about the MBS is the lack of growth in the non-rolling slot ETG segment kind of flattened out four or five a day. But I think it speaks to our team over there running this exemplary building that we've driven this kind of a EBITDA, out of a market that's not really growing that much. And frankly the hotel does well for $454, $446 ADR and 90%-plus occupancy strong and sustainable retail. But again, all cylinders are working there. The one which we had is the four or five a day. The one really big positive is larger rolling volumes and great commission structure against that rolling segment producing greater margin. So margin has crept up into the 30%s, and I think it speaks to what we've done over there to maximize that asset. So, that's my take on MBS.
Thomas G. Allen - Morgan Stanley & Co. LLC: And Rob, is this strength coming from Chinese players coming back or is it Greater ASEAN?
Robert G. Goldstein - Las Vegas Sands Corp.: I think, it comes from people in the region. I wouldn't necessarily characterize as Chinese driven. It's – we have a strong permanent resident base there with a strong base out of the surrounding countries. We do well in Indonesia. We do well in Malaysia. We do well out of Japan there, so it's a mix of business. I wouldn't identify China as the primary driver. In fact, if anything, we're seeing, it's stable in China but not necessarily growing significantly.
Patrick Dumont - Las Vegas Sands Corp.: And just to clarify on the comment Rob...
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful.
Patrick Dumont - Las Vegas Sands Corp.: – made on the margin piece, he was talking about the VIP margins specifically being into the 30%s which is fantastic for the property overall, but we're effectively in the mid-50%s at this point.
Robert G. Goldstein - Las Vegas Sands Corp.: Thank you. Yeah. Correction, we did mid-30%s for the rolling segment, 54% or 55%in the whole building. So remember, that's a long way for it used to be, so I think again, our concentration on costs and commissions have paid off.
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful. Thank you.
Robert G. Goldstein - Las Vegas Sands Corp.: Thank you.
Operator: Thank you and our next question is from the line of Shaun Kelley of Bank of America. And your line is open.
Shaun C. Kelley - Bank of America Merrill Lynch: Hi. Good afternoon. Maybe to go back to the expansion plans a little bit, just sort of kind of new investment here. Could you just walk us through your intentions around the hotel brands? Has that strategy worked or is your intention to terminate any of those or any of those kind of contractual relationships? And then on sort of in a similar vein, when we think about the disruption is there sort of a plan for how many hotel rooms there'll be out of service, maybe overall or be touched by the renovation so we can just kind of try and think about possible disruption in modeling that?
Robert G. Goldstein - Las Vegas Sands Corp.: Sure. On the hotel side, we're not going to discuss which brands. At this point, the goal is to keep all the brands in play at SCC. There may be some changes and some rethinking how we do that, but the intention – we're very happy with the quality of brands we have there. There is a strong intention to re-façade the building. So when you drive by, we actually are going to Macau this evening, you drive by The Parisian, as you arrive there, it's always the most – it's visually stunning and same thing with The Venetian. It's very, very attractive to the eye and makes you want to go inside the building. We want to achieve that more at The Londoner, something with all the iconic architectural look and feel of Big Ben, et cetera, Parliament Building something which you would see visually from the street and feel very much willing to come in and explore in the building. Secondly – so it's both going to be a architectural treatment and a re-façade of some of the towers. Once you're in the building, again, very much a London-feel, London-style approach all kinds of opportunities to (32:39) to theme it. If you think about London, it's iconic in so many ways, the busses to the Beefeaters, and there's just so many opportunities there. Our team is having great fun playing with that, inside we think the casino experience to be much more iconic, much more thematic. As I said, the hotel was mostly remain untouched. We were happy with our, with our partners, they're happy, we're seeing there, and there may be some rethinking to the decor pieces. But for the most part it remains untouched and the goal is to be both in both sides of the street both facing the Cotai Strip and to the rear as well towards MGM and Wynn. So we want to make this place, a place where base mass gravitate to. We want to elevate our rents to look like more like The Venetian. We want to make a very themed retail experience. Our retail wizard, David Sylvester has made clear to us he thinks we can do a lot better in that building. We agree with him. So, it's meant to be both a base mass, a retail experience, but I also believe an energized exciting building will drive all kinds of other demand in the rolling segment and the premium mass segment as evidenced by what you saw this time at The Parisian this quarter. This Parisian building is attracting all kinds of people, I don't think any new building in Macao has done the kind of volumes and the kind of activity we're seeing in all segments from base mass, slot machines, rolling segment, across the board, Parisian is just showing some real strength and growing. And our new suite product comes on board. We want that kind of enthusiasm, that kind of visual experience from our Londoner, there will be disruption. We're not prepared to go into how much detail yet, because we're working through those issues with our architectural team, our design team. And there will be disruption, you can't re-theme the building, spend a lot of money without having some disruption. But I think the payoff pitch on this will be extraordinary for this company and real growth in a market we're very comfortable with. And we lead the market in every way in terms of EBITDA, in terms of what we've done there at division in Cotai. This is just another step forward in our Cotai plan. So, we're very enthused about it. We represent to you that we think it's going to be very, very impactful a few years down the road. There will be some disruption and we'll report back to you as we get further down the path in the renovation of the SCC into The Londoner.
Shaun C. Kelley - Bank of America Merrill Lynch: Great, thanks. And just maybe a follow-up which is really just a kind of a clarification, but the $1.1 billion total investment. That's fully inclusive of the build out of all the incremental hotel rooms, we know you obviously have a lot of that, at least the building is constructed [Technical Difficulty] (35:15) everything in the rooms, right?
Patrick Dumont - Las Vegas Sands Corp.: Yeah. The numbers that we show in our CapEx slide are inclusive. So, that's to complete the project and that's our anticipated timing of spend.
Shaun C. Kelley - Bank of America Merrill Lynch: Thanks, everyone.
Patrick Dumont - Las Vegas Sands Corp.: Thanks, Shaun.
Sheldon G. Adelson - Las Vegas Sands Corp.: Thanks, Shaun.
Operator: Thank you and our next question is from the line of Joe Greff of JPMorgan and your line is open.
Joseph R. Greff - JPMorgan Securities LLC: Good afternoon, guys. Just going through your earnings slide deck on slide 16, the base mass departmental profit margins, you took down 35% to 45% from 40% to 50%. I guess what's driving that?
Robert G. Goldstein - Las Vegas Sands Corp.: You want to take it?
Patrick Dumont - Las Vegas Sands Corp.: I think it's a combination of factors. Part of it has to do with rating of players and the fact that we have more rated play on the base mass floor than we've ever done before which is helpful, because it allows us to know our customers better and set them up for repeat visits. The problem is it's just not as profitable. So, as the market matures, as we get to know our customer base better in the base mass segment, we're going to have some margin change as they become rated. That's really the driver there. But it just means that as the volumes go through, as the market becomes more competitive, remember there are more people addressing the base mass segment in the Macao market today, we're going to do things to retain our customers and develop them and there's going to be some margin reinvestment required for that.
Robert G. Goldstein - Las Vegas Sands Corp.: It's a good long-term investment retaining customers and loyalty.
Patrick Dumont - Las Vegas Sands Corp.: And to add some historical color, you have to go back five or six years, you'll see a time when we had a 50% margin in base mass. Since the downturn in Macao, we've been pretty much right at 40%, close to 40%. Margins are steady in the base mass business right now, so we're right at the midpoint of that range today. And you know, they got a chance to go up over time as business matures.
Joseph R. Greff - JPMorgan Securities LLC: Okay. Great guys. Thank you. And then, I guess we'll find out at the end of earnings season what actually the mass segment grew in the 3Q, but your math in the slide deck in terms of the estimated mass growth is very similar to ours. To what extent do you think the level of deceleration in the mass and slot segments both here in October and at the end of the 3Q is a function of your lapping two new properties versus, there's something else going on with mass players or the mass segment in terms of their ability to access cash in the same way they could earlier in the year? Whether it's (37:47).
Robert G. Goldstein - Las Vegas Sands Corp.: Yeah, Joe. Obviously, it's hard; we're not going to speak to October at all as its fourth quarter. But I think there's more competition, there's more people in that space, I think Galaxy has done a very good job. Look, everybody wants a piece of that business and they should. It's the highest margin, it's the most profitable part of our portfolio and something we – we want to be dominant in all segments, from base mass, premium mass, rolling, across the board. But as Patrick referenced in our rating situation, and as we see for the competition, there's some very good products out there which we're competing against. So we used to be alone in Cotai, we used to have the 100% share of that. That's changed. And I think that's going to continue to be an evolving process. Part of the reason we are so excited about The Londoner, is we can recover more of that business with The Londoner we haven't had. The Venetian has been our base mass product that's been all along the most important, the most successful part of our portfolio. We see very little of it at the Four Seasons Plaza, we saw a lot more of it come back to The Parisian and The Parisian taught us a lesson that we go back to the drawing board and say we want to be in all segments to be successful. So that's part of our planned strategy for The Londoner on a go-forward basis. Our goal is to be successful, dominant in all of the major segments including base mass, premium mass, rolling segment, all important to us. So a lot of competition, a lot more people competing for that customer, that segment's dollar.
Patrick Dumont - Las Vegas Sands Corp.: Joe, the other thing we want to point out is, if you look at page 13 in the deck as well, you've got Mainland Chinese overnight visit which is a super important statistic. That's up over 15% when you look at the third quarter. So that's 3.23 million Chinese visitors, that's a record. And the other two data points we provide on page 13 are the average length of stay, which is going up because of the hotel inventory, as well as the mass win for customers. So, that's also going up. And this is a seasonal business too. And if you look at the mass win per customer on page 15, we've got an illustration for the last five years here. The second quarter to the third quarter, this is the least amount of degradation we've seen in the win per customer between the second and third quarters here as well. So, you've got a very nice premium mass business, more visitation, we don't have the bridge open yet. There's a lot of things to think to the future that give us a lot of confidence that the mass business is going to continue to grow at double-digit rates higher than the rates we're seeing today.
Robert G. Goldstein - Las Vegas Sands Corp.: And just to just to add to that, our mass drop, Joe, is up 19% year-on-year, our hotel room nights are up 24%. I think the key component as we see more visitations and (40:31), obviously, sleeping accommodations, we have all those keys in Macao and clearly that's driving that base mass into our buildings and will continue to.
Joseph R. Greff - JPMorgan Securities LLC: Thank you for the thoughts, guys.
Robert G. Goldstein - Las Vegas Sands Corp.: Thank you.
Sheldon G. Adelson - Las Vegas Sands Corp.: I want to point out that you originally said that we were the only ones we had all of it. Now, others have come in to take it, but I think it's significant to point out that the entire market has grown.
Robert G. Goldstein - Las Vegas Sands Corp.: Sure.
Sheldon G. Adelson - Las Vegas Sands Corp.: So, what we took in at the beginning when we were alone, we've increased...
Robert G. Goldstein - Las Vegas Sands Corp.: The pie has grown.
Sheldon G. Adelson - Las Vegas Sands Corp.: The pie has grown and we've got a bigger share of the pie.
Robert G. Goldstein - Las Vegas Sands Corp.: More people eating, but a much bigger pie.
Sheldon G. Adelson - Las Vegas Sands Corp.: Right.
Robert G. Goldstein - Las Vegas Sands Corp.: Next? Thanks, Joe.
Operator: Thank you. Our next question is from the line of Anil Daswani of Citigroup. Your line is open.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Hey. Good morning, guys. My question is about The Venetian. The Non-Rolling Chip win rate fell to 22.8%. That's the first time in six quarters that it's been below 25%. Was this a one-off and it's something that we should expect to be modeling to rebound in maybe the premium mass segment?
Robert G. Goldstein - Las Vegas Sands Corp.: We hope so. You're right, absolutely. We fell 3% year-on-year in terms of that. The nice part of the story is that we had 500 keys off the market, premium mass keys, which are coming back on the market. The second nice thing is we actually grew the volume. We had material growth in – over double-digit growth in the mass segment coming out of that segment, which was very positive for us. It's unfortunate. If you actually applied the 2016 hold percentages to 2017 volumes, we would have had one hell of a quarter. But it doesn't work that way. So, you're absolutely right. We had a nice volume. The Venetian had nice growth. Consider the fact it had all those rooms off the market, it just had a stellar quarter, just unfortunately didn't hold like it did the year before. Still within the range, but 3 percentage points off on an awful lot of play. Can it return? You hope so. Historically, The Venetian has been a very strong hold percentage building. Can we predict 25%, 26% sustainable? We cannot. Can we hope it returns where it's been historically? We can. 22% is in the range, 25% is better. What's really good though is the volumes of Venetian continue to grow in that segment and I think that's a great sign for the future. We would spend some money in The Venetian rooms which we needed to. We're looking at some casino renovations. We're doing all the junket rooms (43:02) with our partners. Our partners are working with us on the design. And we're going to spend some time this next couple of days with them. We're very keen to see The Venetian get back to a higher run rate because it's just a great place to visit and, again, has that wonderful curbside appeal we want to emulate across the street at The Londoner.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Fantastic. As a follow-up, could you give us a progress report on the renovation program at both The Venetian, when do you expect the entire room product to be renovated, and also at The Parisian, you're going to upgrade some of those to a suite product, is there a time line yet as to when all that will be complete?
Robert G. Goldstein - Las Vegas Sands Corp.: Yeah. So, on The Parisian rooms, the renovation into the premium suite, it begins to come online Q2, actually, during Chinese New Year. I should say Q1. We'll see some of the suites come back. It continues throughout the entire year. It doesn't finish until the end of 2018. 600 keys becoming 300 suites. At The Venetian, it's the early 2018, so sometime around Q1 and that's 1,000 upgraded rooms, stellar rooms by the way that will compete very well with any product, very large Venetian-style suites, completely renovated bathrooms, all FF&E. And I think it puts The Venetian back in a very, very strong position for that premium mass customer.
Anil J. Daswani - Citigroup Global Markets Asia Ltd.: Thank you.
Robert G. Goldstein - Las Vegas Sands Corp.: Thank you.
Operator: Thank you. And our next question is from the line of Robin Farley of UBS and your line is open.
Robin M. Farley - UBS Securities LLC: Thanks. Two questions. One is, I know, Vegas is a smaller part of your EBITDA, but I wonder if you could just give us a sense about how occupancy has been trending over the last few weeks in terms of kind of rate of recovery or when you expect occupancy levels there may get back to kind of previous levels? And then my other question is Macao-related, which is, trying to think about that $1.1 billion, kind of how much of that is sort of maintenance CapEx versus – you're adding the 645 rooms and so obviously a lot of the cost is going to kind of the re-theming rather than adding new supply to your hotel base. So, can you give us a sense of how much is going to add the 645 hotel rooms as opposed to just kind of maybe more refreshing of existing product, if we think of it as kind of maintenance versus growth CapEx?
Robert G. Goldstein - Las Vegas Sands Corp.: Sure. Well, I'll take the Las Vegas question, and ask Patrick to take the second question. Las Vegas is recovering. The group business had expressed some concerns about obviously the tragedy. The horrible truth is these events keep happening. We become a lot more resilient in the world to these tragedies. What used to be, 10, 15 years ago, would have altered the course for months and months, it seems like people now accept these horrible situations. And truth be told, we feel Vegas is recovering rather quickly. Anecdotally, we hear that across the town; we see it in our building. So, I hate to say it, but what a few weeks ago seemed like a – might be a real difficult event, the town appears to be bouncing back. The hockey game was filled the other night. Bookings are strong. Our place looks very busy. So, I think Las Vegas is recovering well and more – quicker than I would have imagined when it first happened. As for the CapEx issue, I think, we'll turn it to Patrick or Dan or both. Fellas?
Patrick Dumont - Las Vegas Sands Corp.: So, if you turn to page 22 on our earnings deck, you can actually see the split between what we consider maintenance capital and the investments in the projects that the Chairman described earlier regarding The Londoner at the St. Regis, completion of the tower suites and the completion of the Four Seasons tower suites. That's all there on page 22. So, actually, maintenance CapEx, we've been running in the $400 million context. We've always tried to show that it will be about $500 million. As you know, we like to reinvest in our buildings to make sure they're leading in terms of their design, in terms of their amenities, in terms of their offerings to our customers, in terms of their finish. And we're going to continue doing that to ensure that we can market to the best most profitable customers. That being said these projects do address the premium mass segment which is one that is a larger suite product. It's not our standard room, so these will be very impressive product, great renovation. So, in the – what was mentioned in the script, if you look on page 22, you can actually see the amount being spent for each of the renovation. So, the split between maintenance CapEx for the entire property portfolio in Macao, as well as each of the individual projects described is actually there.
Robin M. Farley - UBS Securities LLC: I see that the maintenance CapEx is not changing too much each year, so I guess I was thinking about maybe some of the rebranding to The Londoner, kind of the split between rebranding and actually adding to you – new hotel room.
Patrick Dumont - Las Vegas Sands Corp.: Robin, the whole – everything that Rob has been describing about re-envisioning and Sheldon have been describing about re-envisioning, that's about $700 million of budget right now. The St. Regis Park Hotel is about $275 million of budget, and the Four Seasons is about $250 million of budget. The $275 million and the $250 million are a lot less than they would be if we're building brand new towers because these towers have existed for an extended period of time, so the core and shell has been there for a long time. And so, this is a small investment for hopefully a big impact in opportunity.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you.
Robert G. Goldstein - Las Vegas Sands Corp.: Robin, also we've referenced these – the Four Seasons apartments. I mean, these things will be almost 290 residential field type apartments that can be deployed for The Parisian premium mass, for the Four Seasons premium mass or for the Venetian. So, I think, they would be very impactful for that customer who plays large, wants a family stay, wants to bring his children, et cetera. I think that building is very well situated. It's been dormant, it's going to be reactivated, and I think, it would be very powerful as far as an EBITDA generators down the road. It's expensive, but it's well worth the investment. So, along with the St. Regis, The Londoner, it's a big part of our CapEx plan for 2018 and 2019.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you.
Operator: Thank you. The next question is from the line of Felicia Hendrix of Barclays. Your line is open.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Thank you. Just in Macao, I was just wondering if we could talk about how to think about flow-through in the near term? So, in your second quarter, you grew EBITDA margin sequentially 80 basis points adjusting for hold in this quarter. Seasonally, you tend to grow EBITDA margin. Sequentially, you're just flat to slightly down adjusted for hold. So, in our quick calculations, it shows it might be mix, so I'm wondering if it's mix or is there something else.
Robert G. Goldstein - Las Vegas Sands Corp.: Yeah. I think – well, you're absolutely right. Our portfolio is strong across all segments. Our Q3 premium mass grew 18% year-on-year and that's five consecutive quarters of year-on-year growth. Our premium mass drop increased 30% year-on-year and is impacted again by lower than average hold. Our rolling segment at 48%, it was extraordinary year-on-year. But as you know, the margin is partially dictated by the segment mix and each segment's contribution from the mix. In this quarter, we experienced strong rolling volume, up 48% year-on-year for the portfolio. However, the flow-through in this segment as you know is much less than base mass or premium mass. While we're very pleased with rolling volumes, but profitability will always reside for us in the mass, premium mass and we have to have the highest margins in Macao as a result. But again, the third quarter while it was a victory in terms of lots of growth and lots of volume, we didn't translate well into the hold percentage and again the mix situation hurt us there. Of course, year-on-year also, we had the cost issue in Q3 of 2016 which is always confusing and somewhat ambiguous. So, I think long story short, we're over that now. We're moving into Q4. We hope we can continue to experience these high growth in all these segments. We'll hold better in the hold percentage portion of our business, and it will translate to again higher margins. But I would emphasize that our margins continue to be the highest in Macao. Our Parisian property exemplary quarter. The only disappointing part, my perspective is, we could have held a bit better and the mix certainly impacted our overall margin.
Felicia Hendrix - Barclays Capital, Inc.: I mean, I just wanted to be clear, (51:27) but what I was asking was on hold adjusted, right? So, that would just mean maybe the issue was mainly mix then?
Patrick Dumont - Las Vegas Sands Corp.: Well, when we present – Felicia, when we present our hold normalized, we're only normalizing for the VIP...
Robert G. Goldstein - Las Vegas Sands Corp.: Right.
Patrick Dumont - Las Vegas Sands Corp.: -- rolling and we're not normalizing for the 300 bps of life hold at Venetian and in premium mass. So we don't actually normalize for that in the presentation that we're giving you.
Felicia Hendrix - Barclays Capital, Inc.: Got you. Okay. And then just as my follow-up. If we could just talk about Japan for a second. So, now that the election is behind us, I was just wondering if you could walk us through the timeline you see for the Diet to consider and vote on the implementation legislation. I'm just wondering if how the snap elections might have set the process fast, if at all.
Sheldon G. Adelson - Las Vegas Sands Corp.: If I were – This is Sheldon. If I were to give you an answer on that, I'd be reading it from a crystal ball. Well, no...
Robert G. Goldstein - Las Vegas Sands Corp.: It's the one in the closet.
Sheldon G. Adelson - Las Vegas Sands Corp.: No, that's the other one.
Robert G. Goldstein - Las Vegas Sands Corp.: Oh, that's your crystal ball?
Sheldon G. Adelson - Las Vegas Sands Corp.: – in the other room.
Robert G. Goldstein - Las Vegas Sands Corp.: I forgot.
Sheldon G. Adelson - Las Vegas Sands Corp.: That's where I get my ideas from. It's – there are a lot of people speculating about it, and I read this morning that he's got a super majority. Nobody said he had – he's got a super majority with the Komeito Party. So he could do whatever he wants, as long as he got the Komeito Party to go along with it. The press said that is – there are two things. One is to set up his defense forces again. They were prohibited since World War II, and the other thing is to watch his economic program including the IRS (53:22) with casinos implemented. So you know it's tough, it's tough to read a crystal ball as to what's going to happen there. But different people are saying different things. They say that by November 1, they could open which is in a few days. He did open an extra session of the Diet and not the regular session. So people were speculating and saying that he could pass the Gambling Act and then the Integrated Resorts Act still within this year. So there's – nobody knows for sure. We don't know for sure. We're hoping, we've been optimistic for many years about that. Now it looks better than ever that we'll get the implementation bill, and – but who knows when.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Thank you.
Daniel J. Briggs - Las Vegas Sands Corp.: Thanks, Felicia.
Operator: Thank you. Our next question is from the line of Carlo Santarelli of Deutsche Bank. You're your line is open.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey, guys. I have two questions. I appreciate you taking my questions. But, really quickly on the first one, and Dan, you're probably best suited to help me on this, but the – it looks to me unless I have something wrong here, it looks to me like it was a 2.9% VIP hold in Macao in the period which reduced your revenue by $18 million and then it looks like there was $28 million of expense. So, despite the fact that their hold optically wasn't high, your EBITDA was down $10 million. Does that just relate to holding a lot higher on the direct side?
Robert G. Goldstein - Las Vegas Sands Corp.: That's correct.
Daniel J. Briggs - Las Vegas Sands Corp.: That's exactly it. That was it.
Robert G. Goldstein - Las Vegas Sands Corp.: That's it.
Daniel J. Briggs - Las Vegas Sands Corp.: That's it. You're right.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Okay. Great. Thank you. And then, Rob, when you think about everything as we look at the outlook, obviously the work that's being done at Sands Cotai Central, clearly, the grind mass as Patrick referenced kind of doing a little bit more with recognizing the customers. And having them in the database, as well as the mix of revenue growth on a go-forward basis with VIP kind of currently outpacing the rate of growth in mass both for you guys and for the market. When you think about 2018 putting all that stuff together, directionally, do you guys believe there's an opportunity to grow margins next year?
Robert G. Goldstein - Las Vegas Sands Corp.: We'd like to believe there is as revenues continue to grow. We've taken over $310 million of run rate cost out of the business basically in effect last year as we talked about on prior calls, we're very confident to be able to manage cost in the business. But really what we need now is revenue growth. If you want to see margin expansion in Macao, we need to grow revenue. Fortunately the market is growing. And fortunately we believe we have the best asset portfolio there to take advantage of the most valuable segments that are continuing to grow the fastest. So we're very confident in our ability to expand margins over time, but we need revenue growth in order to do so.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. And guys, just a quick one on Vegas. Rob, I believe you mentioned Las Vegas is recovering well. The RevPAR in the quarter and kind of the mix that you guys had between occupancy and rate clearly not at all impacted by what happened on October 1. But when you think about your 3Q, is there anything discernible in there just based on the fact that the LVCVA data through August looked pretty solid market wide. I'm assuming there were some larger conventions that were out of September. But is there any color you guys could provide on kind of Vegas for the 3Q?
Robert G. Goldstein - Las Vegas Sands Corp.: Into the RevPAR, no. Nothing to it. I think that we're comfortable with our numbers, we're disappointed with some of our gaming numbers, want to see some more growth there, but we're very happy with the lodging numbers, the RevPAR holding up well. Vegas holding up well, it's morphed into a lodging market primarily. And we feel very good about where we're at in the market. So, no more color than that.
Daniel J. Briggs - Las Vegas Sands Corp.: Yeah.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Okay. Great. Thank you, guys.
Robert G. Goldstein - Las Vegas Sands Corp.: Thanks, Carlo.
Operator: Thank you. And that does conclude today's Q&A session.
Sheldon G. Adelson - Las Vegas Sands Corp.: That's it.
Robert G. Goldstein - Las Vegas Sands Corp.: That's it.